Operator: Good morning, and welcome to the Iron Mountain Third Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ms. Gillian Tiltman, Senior Vice President and Head of Investor Relations. Please go ahead, ma'am.
Gillian Tiltman: Thank you, Chuck. Good morning, and welcome to our third quarter 2024 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website. We're joined here today by Bill Meaney, President and Chief Executive Officer; and Barry Hytinen, Executive Vice President and Chief Financial Officer. After prepared remarks, we'll open the lines for Q&A. Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 and our quarterly report on Form 10-Q for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information. With that, I'll turn the call over to Bill.
William Meaney: Thank you, Gillian, and thank you all for taking time to join us today to discuss our third quarter results. We delivered another excellent quarter, with record results across all financial metrics of revenue, adjusted EBITDA and AFFO. This is a direct result of the portfolio based momentum we have built, which will continue to deliver sustained double-digit growth. During the quarter, we achieved our highest ever quarterly revenue of $1.6 billion, up 12% from the prior year. We also set a new adjusted EBITDA record of $568 million, up 14%. In addition, AFFO per share on a normalized basis was $1.12, up 10% compared to the prior year. Given our strong performance year-to-date, we are now on track to achieve the high end of our full year 2024 guidance range. I'll now turn to an update of our key achievements during the quarter, which are grounded in the following strategic priorities: driving continued revenue growth in our physical storage records management business; delivering differentiated digital solutions, which give truly transformative results to our customers in terms of revenue, cost and cybersecurity; providing asset life cycle management capabilities, which are both economic and environmentally sustainable; and supplying differentiated data center offerings through our global scale and customer trust. Now let me highlight some important wins from the quarter that showcase how we demonstrate the power of our platform. Let's begin with our Records and Information Management business. In Australia, a large government department was looking for a partner that could provide a number of services. We earned their trust and signed a seven year contract delivering storage, digital solutions and asset life cycle management services. Turning to our digital solutions business. This quarter, we launched our InSight Digital Experience, or DXP, a SaaS based platform. DXP allows customers to automate the generation of metadata as well as having the ability to access, manage, govern and monetize physical and digital information. We launched this enhanced platform on August 1, and we have already booked 24 recurring revenue deals. I'll speak to two existing customer wins where we cross sold our DXP offering. Let's start with the customer in Mexico. Due to new requirements in the country for all pension information to be digitized, a longstanding customer turned to Iron Mountain to swiftly gain compliance. We have secured a DXP contract with this large financial services company to sort, digitize and manage their pension records over the next 12 months, comprising more than 50 million images. Secondly, in the U.S., a large healthcare company that has an existing records management and ALM customer will leverage our DXP platform to manage a complex set of multi-format records. By digitizing and migrating this data into our DXP platform, our customer will be able to manage their records more effectively, including the elimination of ineligible claims. This is an example, how the power of our DXP platform drives value for our customers and our unique ability to support their physical and digital information management needs. Turning to our asset life cycle management business. We are pleased with the progress we are making to expand our capabilities and geographic footprint. In Australia, a telecommunications provider needed services for the secured destruction and disposal of e-waste and IT assets. Given our nationwide scale, this customer determined that we are the right partner by handling a high volume of IT hardware efficiently. As a result, Iron Mountain was awarded a recurring contract for these services. In the U.S., our expanded footprint and capabilities following our acquisition of Regency Technologies has resulted in a significant ALM contract with a global technology company. Under this agreement, we will be managing all IT asset disposition services for our customers' U.S. operations, in addition to the records management services that we already provide. The strength of our logistics capabilities was a major factor in winning this contract. Consistent with our strategy to significantly grow our presence in the large and fragmented enterprise asset life cycle management space, we are pleased to announce the acquisition of Wisetek, an end-to-end IT asset disposition company, which will provide us with an expanded footprint across Europe and the United States. We also completed the acquisition of APCD, a leading Australian IT asset disposition specialist. These acquisitions will enable us to continue to expand our reach across a number of categories. Turning to our data center business. I would like to share two examples that demonstrate the continued demand for capacity at our campuses across the world. In Virginia, our team won a second 2 megawatt deal with a global technology company, building on a similar deal with this customer at our data center in Pennsylvania earlier this year. In Arizona, we are supporting a global fintech provider to migrate from an internal data center in a 1.5 megawatt deal with scope for further expansion. Our compliance program was a deciding factor for this highly regulated customer. The leasing achieved in the first three quarters brings us to 106 megawatts compared to the increased guidance for the year of 130 megawatts. To conclude, I'll leave you with three key takeaways. Our strategy is built on the strength of our portfolio of growth businesses, including digital solutions, data center and asset life cycle management, each growing at a CAGR of 20% plus. This coupled with the mid to high-single digit growth of our records management business will continue to deliver consolidated growth in excess of 10% for years to come. This growth is sustained and resilient given it is based upon a portfolio of products and services that meet the current and future needs of our customer base of nearly 250,000 customers, including 95% of the Fortune 1000. And the cornerstone of this strategy is our company's DNA of placing our customers' needs and well-being at the heart of how we serve them. This is all thanks to our dedicated team of Mountaineers. With that, I'll turn it over to Barry to provide more details on our financial results and outlook.
Barry Hytinen: Thanks, Bill, and thank you all for joining us to discuss our results. In the third quarter, our team delivered strong performance across all of our key financial metrics, including revenue, EBITDA and AFFO. Results for each of those were ahead of the projections we provided on our last call. Our team drove solid performance across all of our business segments, each of which I will discuss in more detail before turning to our outlook for the fourth quarter. During the third quarter, we achieved record revenue of $1.56 billion, up 12% on a reported basis, driven by 9% storage growth and 17% service growth. We delivered strong organic growth in the quarter, up 10%. Total storage revenue in the quarter was $936 million, up $77 million year-on-year. We drove 9% organic storage growth, two-thirds of which was driven by revenue management trends in our global RIM business and one-third from our data center business. Total service revenue was $622 million, up $92 million from last year. Organic service revenue growth accelerated to 10% year-on-year. I will note, this represents our best quarterly growth rate for organic service revenue in the last two years. Revenue was driven by strong performance in our ALM and global RIM businesses. Reported service revenue growth at 17.4% reflects the inclusion of our Regency Technologies acquisition. Adjusted EBITDA was $568 million, a new record, up 14% year-on-year, driven by strong growth in our Global RIM, ALM and data center businesses. Adjusted EBITDA margin was 36.5%, up 50 basis points year-on-year, which reflects improved margins across all of our businesses. AFFO was $332 million, up $31 million, which represents growth in excess of 10% for the third quarter of last year -- from the third quarter of last year. Reported AFFO on a per share basis was $1.13, up $0.11 from last year. AFFO per share included a $0.01 benefit due to our GAAP share count in the quarter. Normalizing for that, AFFO per share was up 10% to $1.12, which is comparable to the projection we provided on our last call of $1.10. The outperformance to our guidance was driven by higher adjusted EBITDA. As expected, the strength of the U.S. dollar continued to be a headwind, increasingly so toward the end of the quarter. On a constant currency basis, revenue was up 13% and AFFO was up 11%. Now turning to segment performance. I'll start with our global RIM business, which achieved revenue of $1.26 billion, an increase of $78 million year-on-year. Organic storage was up in excess of 7%, driven by revenue management and consistent volume. Organic service revenue was also up 7%, with contributions from digital and core services. A key highlight is the performance of our digital business. The team launched the digital experience platform that Bill mentioned, while also delivering their best bookings quarter yet. Consistent with our Matterhorn plan, the vast majority of the digital wins were the result of cross selling. Global RIM adjusted EBITDA was $569 million, an increase of $52 million year-on-year. Global RIM adjusted EBITDA margin was up 120 basis points sequentially and 140 basis points from last year. Margin expansion was driven by operating leverage and revenue management. Turning to our global data center business. The team delivered revenue of $153 million, an increase of $26 million year-on-year. From a total revenue perspective, we achieved 20% organic growth. We delivered storage rental revenue growth of 22% from the third quarter of last year. As expected, service revenue was down slightly this quarter due to the customer specific installation work we had last year. As a reminder, installation revenue tends to be at low to breakeven margins. Data center adjusted EBITDA was $67 million, representing strong growth of 26%. Adjusted EBITDA margin was 43.6%, an increase of 190 basis points from the third quarter of last year and up 40 basis points sequentially. Margin expansion was driven by pricing, recent commencements and operating leverage. Turning to new and expansion leasing. We signed 9 megawatts in the quarter, bringing total bookings year-to-date to 106 megawatts, and we expect to finish the year with 130 megawatts of new leases signed in 2024. Consistent with the strength and expanding nature of our hyperscale customer relationships, together with the outlook for long-term secular growth in the data center industry, we are pleased to announce that we have acquired a development site in Richmond, Virginia. When fully built out, the campus will operate with greater than 200 megawatts of capacity. As this transaction closed in the fourth quarter, it is not included in our supplemental. With this new market, our total data center capacity rises to in excess of 1.1 gigawatts, an increase of over 20%. Turning to asset life cycle management. Total ALM revenue in the quarter was $102 million, an increase of $61 million or 145% year-on-year. On an organic basis, our ALM team delivered strong double-digit growth, which was driven by data center decommissioning and expansion in our enterprise business. Regency Technologies performed very well this quarter with revenue of $36 million. Leveraging Regency's capabilities, capturing synergies related to the deal and improved efficiencies in our data center decommissioning resulted in considerable improvement in ALM profitability. Our focus on cross selling is delivering great results. For example, over 95% of our ALM bookings this quarter were cross sell wins. Regarding the ALM acquisitions that Bill referenced, we closed APCD in August, and it contributed $3 million to revenue. We closed Wisetek in late September, so we had no income statement contribution in the quarter from that acquisition. Turning to capital allocation. We remain committed to our strategy, that is balanced between funding our growth initiatives, while delivering meaningful returns to our shareholders and maintaining a strong balance sheet. Capital expenditures in the third quarter were $415 million, with $373 million of growth and $41 million of recurring. Turning to the balance sheet. With strong EBITDA performance, we ended the quarter with net lease adjusted leverage of 5.0 times, which is again the lowest level we have achieved since prior to the company's REIT conversion in 2014. For me, a highlight in the quarter was the significant improvement in our cash cycle, with the third quarter having the best performance in that metric in over a decade. Our team drove days sales outstanding down by over five days from the third quarter of last year. Also, we improved days payable by two days. Turning to our dividend. Our Board of Directors declared our quarterly dividend of $0.715 per share to be paid in early January. And now turning to our projections. For the full year, we are on track to achieve the high end of our guidance. For the fourth quarter, we expect revenue of approximately $1.6 billion, adjusted EBITDA of approximately $595 million, AFFO of approximately $358 million and AFFO per share of approximately $1.21. In conclusion, our third quarter results represent another milestone on our growth plan. We operate in very large categories, with a total addressable market in excess of $150 billion annually and growing. Iron Mountain has long-standing relationships with nearly 250,000 clients, many measured in decades of duration. And in the vast majority of those relationships, we are only penetrated with a small fraction of our total product offering. We are driving value for our customers, and we are highly focused on cross selling and expanding market share across our businesses. I would like to thank all of my fellow Mountaineers for their efforts to serve our clients and grow our company. And with that, operator, would you please open the line for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi. Thanks. Good morning. In your ALM business, can you talk a little bit more about trends that you're seeing in the data center and enterprise side of the business, including how much contribution you're seeing from volumes and pricing?
William Meaney: Good morning, George. Thanks for the question. Let me talk about the overall trends. And Barry, I'll ask to comment a little bit on the pricing trends. So as you, I think, alluded to, is that we see good growth or very strong growth coming out of the data center decommissioning (ph), especially where a lot of the hyperscalers are renewing their equipment to take advantage of the latest GPU. So we continue to see strength in that trend. But that's not to ignore the strength in the growth, the volumetric trends that we see also in the enterprise side. But you're right to assume that we see good growth in the hyperscale segment due to the refresh of some of their equipment to take advantage of AI.
Barry Hytinen: And George, it's Barry. I would say from a pricing standpoint, we continue to see -- expect it to trend as I've been discussing throughout the year. It was up some on a year-year basis and trending. However, the spreads between new and second hand of the year have been a little bit variable based on the specific component. So with memory, for example, being a little wider than normal and some of those others being a little tighter. As I've said before, we're not really predicating our guidance on a really meaningful increase in component pricing. And just to give you a perspective on this, our total ALM business was $102 million of revenue, almost $103 million actually in the quarter. As I mentioned, Regency was $36 million, and then we had about $3 million from APCD, which means our organic revenue in the quarter on ALM was about $64 million, and that compares to last year at $42 million. So we are -- to Bill's point, the volume is driving a lot of increase. And with that volume, together with the synergies from our Regency deal, we're seeing the ALM profitability to be up a lot. So we're very pleased with the way our ALM business is trending, George.
George Tong: Got it. Very helpful. Thank you.
Operator: Your next question will come from Jonathan Atkin with RBC. Please go ahead.
Jonathan Atkin: Thank you. I wanted to ask about CapEx requirements to kind of fuel the growth going forward. Give us a sense as to how to maybe frame that for the next year? I assume a lot of that would be data centers, but any color on that would be helpful. Thank you.
Barry Hytinen: Hi, Jon. It's Barry. You are correct that in light of the strong growth we continue to see in leasing, we will be continuing to invest significantly in data center growth capital. And in fact, we'll probably be somewhere in the vicinity of a couple of hundred million dollars more growth capital than we were previously expecting earlier in the year in light of the signings. And as you probably saw in our supplemental, we are advancing pretty heavily in some of the construction of all the pre-leased assets. As I've said before, important note is nearly everything that we have under construction is already pre-leased on very, very favorable terms. So our total guidance for capital this year is probably approaching $1.8 billion and with about approaching $150 million of that being recurring. The vast, vast majority of the growth is for data center. And I think you should probably expect something of that order or so going forward in light of the signings that we've had and the amount of capacity we'll be bringing online under those pre-leased agreements. Thank you.
Operator: Your next question will come from Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Hi. Thank you very much. Could you talk a little bit about kind of the pacing of when you expect some of the construction to come on board? It wasn't a ton of sequential revenue growth in the data center business. And obviously, there was a huge signing quarter relative to what we saw in the last couple of quarters. So I want to know if you could just give us -- I know it's lumpy on the signings side. And obviously, you have to put something into commission that you're actually -- the customers using it in order to generate revenue. Can you give us a little bit of an idea of how we should think about that pacing into the fourth quarter? And then in general, over the next year or so, how are -- how is that looking -- are you looking to bring a lot of new capacity or new data centers actually into service?
William Meaney: Yeah. Thanks, Shlomo for the question. So there's a few pieces in there. So let me start, first of all, about the signing this quarter, the 9 megawatts. And as you alluded to, and I think we said in the last call, there was some that kind of we expected in Q3 last time that landed in Q2. We still feel very good with the pipeline that we have to land at 130 megawatts or maybe a little bit better for the year because of lumpiness of some of these large hyperscale contracts that you mentioned. But we're really pleased with the -- these two contracts that we signed or the two that I mentioned on the call, for instance, because these are more co-lo (ph), which obviously attract very high margins. So we feel really good about the overall guidance for the year. I think in terms of the revenue growth and the pickup that you mentioned is the commencements are actually driving this. So we actually see an acceleration of revenue growth, both year-over-year and sequentially as we head into the fourth quarter, which is really going to set us up well as we get the momentum to continue to carry this strong double-digit or in center case, north of 20% CAGR in the growth of that business as we go into 2025. And that's reinforced by the fact that we announced it since the close of the quarter, but in Q4, we've already purchased more land to build out a campus in Richmond, Virginia that Barry mentioned in his remarks. So we feel really good about the setup as we go into 2025. The fourth quarter will be very strong. And I don't know, Barry, if you want to add anything.
Barry Hytinen: Sure. Well, the only other color I suppose I would provide is, you would see in the supplemental that we did commence into revenue generating and finished construction, if you will, on quite a few megawatts. But the vast majority of that was right at the end of the quarter. So it really contributed almost very de minimis amount of revenue to the headline results. And so that's one of the reasons why we have a high degree of visibility to something in the neighborhood of probably $20 million plus or more of incremental data center revenue in the fourth quarter versus the third. That incidentally is up from our prior guidance, so reflecting the fact that our team is doing a great job with keeping construction on budget and on time. And as you would see in the supplemental, we've got quite a few commencements coming over the next couple, three, four quarters. So you should be anticipating ramping levels of data center revenue from us going forward. And I'll just point out that, as we said before, the returns we've been writing have been improving. Pricing, obviously, in data center has been getting better for quite some time now. And so that's one of the reasons why you're seeing the margins step up sequentially, and we expect that trend to continue. So we feel quite good about where we are. Next question?
Operator: Your next question will come from Nate Crossett with BNP. Please go ahead.
Nathan Crossett: Hi. Good morning. I was wondering if you could give us your expectation for RIM volumes in 4Q? And maybe into next year, what should we expect for RIM pricing? And then one on the Richmond land, is that power provisioned already and maybe when can we see start developments on that site?
William Meaney: Thanks, Nate. Let me start with the Richmond land. Yes, that is power provided. And as we said, that will be north of 200 megawatts of critical IT load, so we're really pleased with that expansion. And I'll let Barry talk about the RIM volume and pricing.
Barry Hytinen: Sure. Hi, Nate. As you would see in the supplemental, we continue to expand our total physical volume in the quarter and we expect that trend to continue certainly in the fourth quarter and going into next year. The team is doing a great job capturing market share and growing our physical volume. Pricing, revenue management, we were clearly focused, as I mentioned, on driving value for our clients and with that value. And I think we're really on provider that can serve clients, especially our larger clients in the ways that we do. And we're offering new offerings that make the value that much higher, things like Smartstore, Image on Demand, our DXP platform among numerous other offerings that drive value for clients. So you would see that the total revenue in global RIM on the storage side was up a little over 7% organic in the quarter, and that was very much in line, in fact, a little bit ahead of what we were expecting as the team continues to do very well driving that value. Thank you. And I would say you mentioned about for next year. Our long-term outlook continues to be that our physical volume will be flattish to slightly up. I see no reason why, at this point, that would be any different next year. And similarly, I think as long as we're continuing to drive value for clients as we are, you should be anticipating our revenue management opportunities to be of the same order that we've been speaking about for some time, which is that mid to upper-single digit. Thank you.
Operator: Your next question will come from Kevin McVeigh with UBS. Please go ahead.
Kevin McVeigh: Great. Thanks so much. Good morning, I guess, hey, Barry, I think you talked to kind of revenue and EBITDA at the upper end of the range last quarter too. It looks like you beat by a little bit in the quarter. Any thoughts as to just why it was reaffirmed as opposed to not take it up with one quarter left in the year? Was that FX? Any puts and takes on that?
Barry Hytinen: Hi, Kevin, so good morning. Really appreciate the question. Appreciate the kind words. I would say, we have been saying all year long that what our year guidance was, and we've just taken it to the high end. And frankly, if you work through the guide, you'd find that we're probably going to be a little bit above the high end for revenue and EBITDA based on our fourth quarter projection. And then AFFO and AFFO per share kind of works out to right at the high end of the guidance. Of course, you are right, FX has been a headwind to us all year, probably at least as much of a headwind in the fourth quarter as it was in the third quarter in light of the dollar strength. And I know that it may sound a little bit -- just getting into the weeds, but that may sound a little counter to what you expect when you look at, say, the pound and the euro. But don't forget, we have a fair amount of exposure in Latin America. We've got a great business there. And incidentally, our Latin America business is doing phenomenally well, really growing bookings in our digital business, taking off dramatically in LatAm. But with that, we are exposed to the Argentine peso, the Chilean currencies or the Brazilian real. And so all of those you would see have had a really tough go versus the dollar. So that's disproportionately impacting our revenue and our EBITDA. But look, we feel really good about where we are and our outlook is very favorable. And as we said before, we are running well ahead of our long-term target for a CAGR of 10% that we issued at Investor Day. We're probably running 200 basis points, 300 basis points or more above that for the first few years of that target, and we continue to expect to be at or above those levels and driving considerable profitability. And that is based on -- our growth portfolio that Bill spoke about, we expect that growth portfolio to continue to grow it in excess of 20% for a long period of time. That's ALM, digital and data center, coupled together with the strength of our global RIM business. Next question?
Operator: Next question will come from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, everybody. Question on InSight. You caught my ear with the 22 wins on the InSight DXP platform. I wanted to know if Iron Mountain is getting revenues for InSight? I know kind of initially that wasn't the strategy, more of a cross sell. So if you're not getting much revenues, what's kind of a typical revenues you're getting from new storage contracts that are bundled with the InSight capability? And if 22 a large number of InSight wins, like, why should we understand this to be important?
William Meaney: Thanks, Andrew. I appreciate the question. So first of all, it's 24, but who's counting, but just -- first of all, we don’t do anything for free. So these are -- when I say highly profitable, these are the typical kind of double-digit service contracts that you're used to watching us. Think of these things, depending on the length of the contract, depending on how much productivity we build in during the length of the contract, but think of them somewhere between 20% and 40% gross margin contracts. The nice thing about these with the DXP platform, not only are we tracking those contracts, I mean, you've been watching the company for a long time, when we start off our digital business is that we were doing relatively little in the area of workflow, much more feeding their data links by the digitization of physical documents. This DXP platform, not only part of it is -- there is a digitization part. But more importantly, when I'm talking about the 20% to 40% margin, depending on the length of the contract, and how much productivity we can build during that course is lots of times, it's taking in data that's completely digital, it's foreign digitally. And we're putting that into our SaaS platform, creating metadata automatically and putting workflow around that. So I think I highlighted the savings bond example. Recently, that was the precursor to DXP, where we took 2 billion microfiche images of historical savings bonds where they couldn't find the owners. And 96% of them we were able to process with the precursor of DXP, which we called InSight and without a person in the loop and identify the owner. So it's that kind of power in this platform. And of course, we've taken it the next step further, and it's a fully SaaS-based platform. But we like the profitability of this business. We really like the growth of the business. And generally, I think you know me well enough. I don't do anything for free.
Operator: Your next question will come from Eric Luebchow with Wells Fargo. Please go ahead.
Eric Luebchow: Thanks. Appreciate you taking the question. Maybe you could just touch on kind of some of your longer-term aspirations with ALM. I know at your Investor Day a couple of years ago, you talked about getting to $900 million or so of revenues by 2026, that's obviously a pretty massive ramp from where you're currently at. So I just wanted to confirm if that's still your stated goal? And maybe how you can kind of bridge from where you're at today, call it, just north of $400 million in annualized revenue to that number, whether it comes from component pricing, volume or incremental M&A that you may or may not do? Thank you.
William Meaney: Let me -- thanks, Eric. I appreciate the question. So I think, yes, we still very much have line of sight to the targets that we set out on Investor Day. Now obviously, that's a combination of organic growth. And as Barry pointed out, we had very, very strong organic growth this quarter. We continue – although, it was up over 50% this quarter, we continue to guide that we can maintain over 20% growth because there's obviously some fluctuation in the pricing of components over time, and we saw that 1.5 years or 2 years ago. But if you look at the volumetric trends that we see in that business, whether it be on enterprise, whether it be on hyperscale data centers or even enterprise data centers decommissioned is the amount of volume because people have a different need as they refresh their equipment than maybe they had 10 years ago, both environmentally and from a security standpoint. We see the volumetric trends. So that's a really strong double-digit growth business. And in addition, we – like, the acquisitions we highlighted that we did in Q3, we see that there's a number of these acquisitions that we'll continue to build. So we feel really good about the targets that we outlined on Investor Day. I don't know, Barry, if you want to add anything.
Barry Hytinen: I think, Eric, the top line target that we provided for the whole company was 10%, and we're obviously running, as I mentioned earlier, a couple of hundred -- 200 basis points, 300 basis points ahead of that. I think our growth portfolio continues to outperform and our global RIM business, also is considerably ahead of where our projections were at that time in the scenario that you're referring to. I'd just underscore, ALM is a really big category. And the TAM there is immense. We're already one of the, if not, the largest player. And I think both from an organic and inorganic standpoint, we can become the market leader in that space. And you saw us doing that both on the organic side as well as with a couple of recent complementary deal. So we feel quite good about ALM. It is very much on track with our strategy for cross selling and driving more value for our clients. Next question, please.
Operator: Next question will come from Brendan Lynch with Barclays. Please go ahead.
Brendan Lynch: Great. Thank you for taking my question. I want to stick with the ALM theme. Can you just give us some more details around Wisetek and APCD in terms of their geography and their product offering, maybe the customer focus between enterprise and hyperscale? And also the appetite you have for larger acquisitions, instead maybe some of these bolt-ons?
William Meaney: Thanks, Brendan for the question. So let me -- I'll talk a little bit about the categories and geographies they bring. So Wisetek really helps us expand our portfolio, primarily, in Europe and North America. So they have good presence in both markets. In addition, they also bring strong customer relationships, both on the enterprise, but also we picked up a new hyperscale customer the acquisition of Wisetek, which was great. This is a customer that we have a relationship in some of our other businesses already. But having -- picking up the hyperscale relationship on the ALM side, in addition through the Wisetek acquisition was really great. I think also, obviously, the acquisition we did in Australia does build out our capabilities in Australia, which has always been a strong and important market for Iron Mountain, but it allows us to actually broaden our portfolio of services for our customers there. I don't know, Barry, if you want to talk a little bit more about…
Barry Hytinen: Hi, Brendan. Good morning. We didn't really disclose financial terms on these couple of smaller deals, but I will tell you that, combined, they probably represent in the vicinity of $75 million, $80 million run rate revenue and they -- Wisetek is based in Ireland that has decent sized operations as Bill was mentioning both in Europe as well as U.S. and a little bit in Asia. APCD, as I mentioned, is based in Australia. And the thing about Australia is that's a large data center market, as I know you know, because you follow the data center industry so well. So that is an underpenetrated opportunity for us, both in terms of enterprise as well as decommissioning. And so we feel very good about these opportunities. You've seen what we've been able to do, even still early on with our Regency acquisition. I think all of these create more scale, more capability and more reach for us to serve our global client base much more effectively. And as you mentioned, are we open to larger deals? The thing about this is there's really -- I mean, we're already the larger player. So actually, you get past us and a couple of others that are, say, half our size, they -- all the players that are in space are relatively small, Brendan? So you're thinking like $100 million revenue or less. And so, I don't think you should anticipate anything large in that space. And -- but frankly, we're doing quite well on the organic side, and we're very happy to welcome the team from Wisetek and APCD to our company. So thank you for the questions.
Operator: This concludes our question-and-answer session and the Iron Mountain third quarter 2024 earnings conference call. Thank you for attending today's presentation. You may now disconnect.